Operator: Ladies and gentlemen, thank you for standing by, and welcome to the June Quarterly and Cash Flow Update. [Operator Instructions] I must advice you that this conference is being recorded today Wednesday the 17h of July, 2019. I'd now like to hand the conference over to your first speaker today to Mr. Shaun Verner. Thank you. Please go ahead.
Shaun Verner: Thanks very much and good morning, and thank you for dialing in today for the Q2 quarterly update. With me on the call today is David Corr, our Chief Financial Officer. Given the recent capital raising and convertible note presentation and investor interaction around that much of the information in our quarterly report is already been released. So today’s update will be relatively great compared to our normal quarter release. We'll work through the second half of the presentation deck. It relates along with the report covering Q2 operations and market, funding including convertible notes and debt processes and the outlook for the rest of 2019. So I am going to take to Slide 7 of the presentation the quarterly update headlines. At Balama, we continue to see excellent safety performance with a total recordable injury frequency rate of 0.3 as at the end of the second quarter. And we also achieved recertification of our ISO 45,001 and 14,001 certifications for health and safety management. Despite seeing progress in the improvement of underlying drivers made in line with the production improvement plan, Balama produced 44,000 tons of natural flake graphite in the second quarter which was 8% lower than Q1 due primarily to mine and equipment issues all of which have been resolved through the quarter. The half one 2019 C1 operating cash cost across approximately 92,000 tons of production, this $567 a ton higher than planned due to lower diffusion of our fixed cost base across lower than planned production volume. The overall cost base however continued to evolve well in line with our feasibility study estimates and cost improvement opportunities well underway. In terms of marketing we saw 53,000 tons in Q2 versus 48,000 in Q1 through continued improvement in contract volume performance and logistics performance significantly reducing our inventory at Nacala through the course of the quarter. The weighted average graphite price received during the second quarter was $457 a ton CIF down from $469 a ton in Q1 due primarily to greater exposure to Chinese bond’s pricing and lower coarse flake production and pricing at the end of the quarter. In the U.S. today, our battery anode material project unpurified spherical graphite customer qualification process has continued and commissioning of the purification circuit is underway with the first dispatch of purified spherical graphite planned for this quarter. We continue to work on prices flow, shape optimization and product development following our preliminary feasibility study for the commercial scale plant which provided attractive economics. In Vanadium, we commenced industry engagement through the quarter following the initial sampling of the Vanadium content through the Balama graphite processing circuit. And we continue to make progress on that front. From refinance perspective during the quarter we announced the execution of the convertible note deed and underwritten entitlement offer, to raise approximately US$76 million within the quarter the institutional component of the offer was completed for around US$17 and an additional US$21 million was received from the retail component of the offer which was completed post the end of the quarter. Cash at the end of Q2 including the net process from the institutional offer was $64.7 million. Net cash outflow through the quarter excluding the institutional entitlement offer was around $15 million versus the forecast of 2020 and David will go into some more detail around the forecast for Q3 and Q2 a little later in the presentation. So I can move you to Slide 8, and sustainability highlights. In addition to our safety performance in ISO recertification, the particular note during the quarter was that activities have significantly progressed for the five yearly renewal of the company's Balama environmental license which is due in April 2020. We made great progress in the implementation of our Tailing Storage Facility Governance Framework in line with industry leading practice and the development of our dry stake tailings option. We also had the inauguration of the Balama Professional Training Center with an official ceremony attended by the Governor of Cabo Delgado province, and the Director of Mozambique's Institute of Professional Training & Labour Studies, as well as representatives from our Host Communities and Company reps. Importantly across our sustainability and community efforts, we continue to be commended by local and national government representatives for the positive long-term focus was undertaken in developing the Balama operation. Moving to Slide 9 and operations, Balama as I said produced 44,000 tons in Q2 versus 48,000 tons in Q1. Despite the lower production in the second quarter we made substantial progress with the underlying improvement pursuing high recoveries and improved product with an improved growth. In particular we focused on equipment management programs and preventative maintenance which have been strengthened supported by a resourcing restructure in planning and support - technical support for operation. And we have undertaken a systematic elimination of equipment risks including a particular focus on three areas to drive our transport system where we had some intimating outages impacting throughput. Pumping system reliability and debottlenecking for improvements in recovery and improved reliability of press filters particularly around comp systems in that area. Our second quarter recovery was 66% slightly lower than Q1 at 69% and we saw a higher throughput variability caused by a combination of minor equipment issues which I have said is being resolved. But positively we have seen an increased frequency of recovery about 80% achieved through the course of the quarter. We continue to implement the actions focused on recoveries in the production improvement program with the elimination of underlying recovery loss causes and constraints focused on achieving 2019 year-end target of greater than 18% recoveries. The major push currently is on increasing leadership and key enabler was to improve prices control and operational consistency across shift and with regard to the plant there is a particular focus on funds pump capacity and the secondary circuit in particular the screw classifier which we believe will provide significant benefits through the course of the coming quarter. Total mine material moved during the quarter was significantly higher than Q1, due to inventory rebuild on the run - after plan depletion of mines stockpiles in Q1 during the peak of the wet season and greater waste movement with the commencement of stage 2 of the Balama West or Ativa pit. The production ratio of fines to coarse flake graphite declined slightly during the quarter to 88% fines and 12% coarse flakes due primarily to ongoing screening losses and higher carbon grade fee. Immediate actions have been implemented across mine planning or blending in screening improvements providing a path to achieving in 2019 target of 80% fines and to 20% coarse flake. The average fixed carbon grade for graphite produced was stable at 95% during the quarter. As a result of the lower volumes than planned in Q2, as I said obviously one operating cash cost was higher than Q1 giving a half one C1 average cost of $567. And the major focus continues on cost reduction activities with that half one average being well above current realized pricing. The combined effort of the operations and so marketing teams is totally focused on eliminating this gap through combined volume product mix recovery and pricing efforts. Moving on to Slide 10 on sales and marketing. Q2 was positive for sales volume and logistics but with some disappointment on the decline in realized prices. Strong volume demanded and continued improvements to logistics processes, coarse selling 53,000 tons in Q2, up 10% on Q1 despite lower production during the quarter with an additional 7,000 tons of sales orders at Nacala awaiting shipment at the end of the quarter. The Q2 2019 weighted average price was US$457a ton versus Q1, $469 a ton, that lower price was due to greater volume exposure to Chinese fines pricing, lower coarse flake production and clearing prices for coarse flake in June. An announcement during the quarter, the sales agreement signed with the Gredmann Group to 9,000 tons of fines per months for the period from June 19 to December 2021,gives us greater volume certainty and provides us with stronger base to manage the volume price trade-off and negotiation processes in conjunction with the funding support that we undertook during the quarter. Improvement in logistics through debottlenecking issues continues, ensuring that increases in production volumes can be comfortably accommodated. It’s also important to note that given current prices, we are likely reprocessing around 6,000 tons mix particle size grade and moisture affected materials to uplift the realizable value currently at the Balama warehouse. We remain highly focused on the potential improvements to basket process can be achieved internally through improvements through product mix and grade as well as very carefully managing the impact of our increased production into the market and ensuring orderly price negotiations. More broadly, we continue to see significant announcements from what I make is around their electric vehicle plants and global battery manufacturing capacity developments remain positive. Albeit during the second quarter there was some concern about demands from an AV perspective in China, given changes to subsidies and price and related processes but we have not seen that flow through to graphite demand at this particular point in time. Steel production also remains relatively brilliant and the combination of those two elements provide the good base for continuing demand growth. Moving to Slide 11 and progress with BAM, which just thought advising that there was no impact on pits under operations at Vidalia from Tropical Storm Barry over the last weekend. We’re actually been very pleased we have the south coast with the events another rain events that we have seen as well as the surrounding area. The decision that we made to move to Vidalia, which is approximately 100 miles inland from previously considered sites gives us ongoing confidence around that particular issue in future. Operationally, we continue with unpurified spherical graphite sample production and qualification activity. We have moved to commissioning of the purification circuit with first dispatch of purified spherical graphite expected to potential customers this quarter. An extension on timing, the installation of part work related to the purification circuit and commissioning has led to around $2 million overrun and project capital costs, and the final allocation in capital funding to the BAM plant through the quarter will see the plant delivered for around US$20 million. The key focus from BAM is the production of pilot scale coated carbonizing graphite’s final BAM material through totaling arraignments, the customer interaction. This combined with the product development work, R&D and feasibility study work that we are doing will see approximately $7 million of the total $14 million allocated to BAM after the end of June 2020 made in Q3 to accelerate the commercial and strategic interaction. This contribute to a higher Q3 cash outflows than previously anticipated, albeit its outflow which provides around strategic engagement. With that I'll hand over to David to talk through where we’re at from the finance perspective.
David Corr: Thanks, Shaun. Moving to Slide 12 on finance, cash at 30 June was $64.7 million, representing a net cash outflow for Q2 of $2.3 million and comprising of Balama, net operating cash expenditures and sustaining capital outflows of $7.6 million, which included a $4.5 million debt refund, offsetting lower than expected price. BAM cash outflows of $5.7 million, which mainly relate to plant construction activities at Vidalia, but also include ongoing product research and development activities. Cash outflows of $1.5 million from general corporate and administration activities net of interest income and net proceeds from the institutional component of the entitlement offer$17.1 million, which we received prior to 30 June. Syrah has continued its extensive engagement in the development of debt funding options during the quarter and continues to evaluate options in conjunction with the convertible note which is subject to shareholder approval at an AGM on 1 August 2019. In Q3, plant group net cash outflow is US$1 million comprising of Balama net operating expenditure and sustaining capital outflows of $14 million. This amount assumes zero VAT recoveries and inclusive of US$3 million for the commencement of tailings dam cell 2 construction activities and US1 million for non-recurring infill drilling program. BAM cash outflows of $7 million, the majority of which relates to the completion of capital expenditures for the Vidalia plant, which was higher than anticipated with the US$2 million overrun and the time extension. Cash outflows for general corporate and administration activities net of interest income are planned at US$1 million and the receipt of net proceeds from the retail component of the entitlement offer of $21 million have been received in early July 2019. The forecast cash balance at the end of Q3 2019 is planned to be $64 million. The issue of the convertible note of approximately $38 million will be available subject to shareholder approval withdraw down on the note as far as election for a period of up to 120 days after the date of the convertible notes deed As mentioned, we continue to evaluate debt options and continue in conjunction with the convertible note. I’ll now hand back to Shaun to conclude the presentation.
Shaun Verner: Thanks Dave. We’ll have a look now on Slide 13 and the outlook for the remainder of the year. On production, 2019 target production range is 205,000 to 245, 000 tons, dependent on ongoing assessment of sales volume against price, production performance and quality performance and we’ll continually assess balance production with market conditions from this point. And we now see strong flexibility to manage that tradeoff between the unit cost benefit of the incremental production and potential impacts on pricing through the mix of contracts we have in place and the funding exercise we have undertaken. The major focus of Balama remains recovery improvement from cost production and volume increases along with an improved coarse flake splits and increased fixed carbon grade for price improvement. I’m confident of saying improvement in these areas for the second half of 2019 and we absolutely recognize the criticality of achieving this quickly. We’re very focused on reducing C1 cash operating costs and still see a clear trend toward US$400 a ton by the end of 2019 subject to recovery and production volume outcomes along with a strong focus on structural cost management. And it’s worth noting that our best month of production in the first half source well into the $400 ton range $400 ton to $500 a ton range as volumes lifted and it is clear that there is a strong sensitivity to marginal volume increases between 15,000 tons and 25,000 tons per month. From a marketing perspective, consistency in demonstrated product quality and a stabilized logistics process and throughput provide us with stronger base for buyer confidence in production and supply consistency and the platform for a stronger negotiation position in conjunction with the funding exercise we have undertaken. We are keenly aware of the potential impacts of too quickly increase in production and managing market entry very carefully. And so we are seeking to achieve increases to weighted average CIF price through improved product mix and higher product grade coming through from Balama operations and in particular further geographic diversification of the sales of the ex-China and negotiation processes as we move into the second half of the year. In BAM, the commissioning of the batch purification plants in dispatch of purified spherical graphite samples to potential customers in Q3 provides the basis for further ramping up our strategic engagement. Now if could turn to pilot scale coded finished BAM products utilizing Syrah's purified spherical graphite, battery manufacturing engagement later in this year and the development of customer and potential strategic partnership opportunities with a focus on funding options for commercial scale of plant is absolutely critical. As David outlined, we are very aware of all the cash position and the importance of moving both price and costs in the combined manner to achieve improvements. The overall Balama cost base is evolving in line with feasibility study estimates and the major impact on the cash position has primarily been the lower than expected sales prices and lower than planned production volumes to this point not only some impact from product mix. And as I’ve said, the team is absolutely committed to delivering improvements on these fronts. We continue to target the early as possible positive cash flow from operations at Balama, which will be driven by price realization, structural cost management improvement in conjunction with increasing volume. Now BAM capital expenditure will complete this quarter and the combined focus from then on Balama on product mix and recovery, price realization, cost reduction opportunities will deliver significant reduction in cash drawn after Q3. Our forecast in Q3 closing cash position of around $64 million exclusive of any proceeds from the convertible note positions us strongly with the completed BAM plants and a singular focus on Balama cash flow improvement. The debt financing options continue to be progressed within the flexibility of the 120 day convertible notes drawdown period. And will be executed, should it be in the best interest for the shareholders to do so. To support debt funding optionality to ensure strongest possible balance sheet and to maintain a very positive position in the global natural graphite market, we strongly encourage shareholders to both to improve the convertible notes prior to the general meeting on 1 August this year. And with that I will leave to any Q&A.
Operator: [Operator Instructions] And our first question is from Michael from Credit Suisse. Please ask your question.
Michael Slifirski: First of all with respect to VAT rebate, the $4.5 million during the quarter, can you explain perhaps how the VAT should be paid, is that an excess payment compared to - so an excess rebate compared to the VAT that was actually paid during the quarter and what's your sort of projection is in terms of a some steady state and now it’s going to be a variable but how we should think about what that should contribute?
Shaun Verner: Yes. Let me make some comments and I’ll ask David if he can talk to contribute. Certainly we have two aspects to VAT. We have recoverable VAT amounts which we built up during the construction period for Balama. The recovery received during Q2 relates to that announced. There is still around $16 million in combined construction related VAT and operations of VAT that's been incurred since the start of operations sitting in the current balance. The prices by which that recovery is undertaken is extensive engagement with the relevant authorities and there is no real timetable to those recoveries. We have now - I think recovered around US$10 million. We do not forecast for further recovery but the price is very much ongoing to continue to seek to recover those amounts. Dave do you have any further comments on that.
David Corr: No I think Shaun summarized that in terms of our ongoing operations the $4.5 million that we did recover in Q2 was representative of the cash outflow that the business incurred in the first half of this year to keep out the IT position balanced against the position that we reported at 31% and above.
Michael Slifirski: Secondly with respect to coarse flake, pricing and your impact on pricing the capital raise presentation the price chart which showed the price depression compared to price chart that you had shown. I want to understand how you think about then your ramp up in coarse flake production from 12% of the total mix in the quarter to ultimately 30 and while underlying plant throughput is also going up. So more than a doubling of coarse flake production over the next little while hopefully. So what do you think that might do to pricing and how that’s been make sure you think about your overall basket cost realization?
Shaun Verner: There is no doubt from a starting point that the transparency of the coarse flake market is even more it has been the bond market given the smaller global volumes of those markets plus 50, plus 30, and plus 100-ish materials. And in the same way that I made the general comment, we are obviously very aware that as our production ramps up that we can potentially have a significant impact on the total volume of material in those markets. So we do keep a very close eye on that and as I said during the presentation the backend of the quarter we did see a reduction in those coarse flake process. So we are managing that very carefully and sorry we have a sky drill going on here which is standard monthly test holiday to that. But we will keep managing that very carefully. In general though at the moment any ton of coarse flake production is a basket plus benefit compared to in addition to ton levels - tons production. So that from an overall perspective that is the way that we look at that scenario.
Operator: [Operator Instructions] Our next question is from Glyn Lawcock from UBS. Please ask your question Glyn.
Glyn Lawcock: Just a couple of questions firstly, just wondering if you have divided a little bit of color on the assumptions staying behind the Q3 guidance and purpose of net outflows for OpEx since the BAM capital would that sounds, volume or price anything to help what you are thinking about for that? And then my second question is just on the Balama spent. I was a little surprise another 7 million for the quarter guided coming up when a quarter ago you said you will be largely complete in the second quarter which I thought to me you were close to that?
Shaun Verner: On BAM?
Glyn Lawcock: Yes, I am just curious that this means a big step up to 7 million when you were largely complete a quarter ago. I know you sort of commented I think I heard 2 million overrun at the BAM project?
Shaun Verner: Yes.
Glyn Lawcock: So just curious I mean this seems like a big number that was all? Thanks.
Shaun Verner: Yes, I think I’ll address the second question first Glyn. The BAM spent for Q3 is combination of really of creating some timing differences between Q2 and Q3 which is relatively small impact. There was some plan spend in Q3, but obviously the overrun has impacted that with the extension on timing and insulation from a parking perspective. And we are as a factor of our engagement strategy with the battery anode and battery manufacturers very keen to progress the product development work as quickly as we can. So there is an increase in spend from an operational perspective on the R&D and product development for this quarter. As we said in the equity raise presentation the total allocation to BAM between now and June 2020 is $14 million. So obviously spending seven of that in Q3 we'll see a material reduction in the following quarters.
Glyn Lawcock: Okay.
Shaun Verner: With regard to Balama so the outflow elements I guess we can breakdown. We were actually forecasting to improve the Balama cash outflows by around 15% from an operating perspective when we normalize from a nonrecurring capital in VAT perspective. We did drawdown inventory significantly in Q2 obviously with 53,000 tons of sales versus 44,000 tons of production. And that saw some benefit in Q2 cash flow relative to Q3 and it means that with a relatively soft production month in June, we have a slower start in July on cash receipts flowing into Q3. And the combination of those factors with somewhat low prices as a starting point from what we had previously assumed is the key reasons that Q3 cash outflow is forecast to even moderately improve from an operating perspective. I thought that of course we've got $3 million sustaining capital related to the early works for TSF so $2.1 million of infill drilling is required through the course of this year for better delineation particularly around coarse flake in the Balama pit.
Glyn Lawcock: So Shaun just can - can I just push a little bit on that comment you just made somewhat lower price assumed in Q3. Can you help me a little bit so if you think about you’ll hopefully increase a bit more coarse so when you say how and you said it’s an impact market and I agree with you it’s very difficult thing I don’t trust lot of the reporting agencies. So what do you actually seeing yourself in terms of - deemed to be true products large flake your smaller flakes I mean and we still use to think now in pressure on pricing is that how I interrupt your comment?
Shaun Verner: I think the similar pricing to interrupt comment is the back end of Q2 was weaker and we have taken a view on that moving into Q3 and we’re not being in anyway aggressive on that price assumption around a coarse like percentage or grade improvement. So there is definitely potential for improvement on that front. So it’s not the - right at the moment we see further downward pressure it’s at the end of the quarter compared to Q1 and start of Q2. The coarse flake prices in particular were softer. We have a good rate through on Q3 for BAM pricing which is broadly consistent with Q2 given the price negotiations that have been undertaken four times. But with the coarse flake it is more like flake market, is more higher number of individual sales and variability in pricing wide as outlined in the Equity Raising presentation, so given that slightly weaker pricing situation that we saw at the back end of the quarter, that’s on post slide that’s the primary driver for us.
Glyn Lawcock: So is it sound like than little bit more coarse flake at a better price but that price is coming down, you sell less volumes over that prices, the basket lifts into the back half than you think on the net basis just…
Shaun Verner: That’s certainly the target around and that focus on the product split and the grade is very, very clear for the operations team and certainly its taking to build that and you have managing the volume on a months-to-month basis is also important in getting that feedback from the market. It is worth nothing as well at the moment, in the higher production, connected production season in China, so the back end of the year, once that production starts coming up again is also something that we hope to see price support as that seasonal production falls back half of the year.
Operator: [Operator Instructions] There are no more further questions at this time. I would like to hand the call back to the speakers for any closing remarks. Please go ahead.
Shaun Verner: Okay. Thank you very much everyone for the attendance today. So soon after the brief introductions if there’s anything else we look forward to any further questions coming for over the next couple of days. Thank you all for the attendance and talk to you later.
Operator: Ladies and gentlemen, that does conclude the call for today. Thank you for all participating. You may all disconnect. Good bye.